Operator: Good afternoon and welcome to the Charles & Colvard Third Quarter Fiscal 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] This earnings call may contain forward-looking statements as defined in Section 27A of the Securities Act of 1933, as amended, including statements regarding, among other things the company's business strategy and growth strategy. Expressions, which identify forward-looking statements speak only as of the date the statement is made. These forward-looking statements are based largely on our company's expectations and are subject to a number of risks and uncertainties, some of which cannot be predicted or quantified and are beyond our control. Future developments and actual results could differ materially from those set forth in, contemplated by, or underlying the forward-looking statements. In light of these risks and uncertainties, there can be no assurance that the forward-looking information will prove to be accurate. This earnings call does not constitute an offer to purchase any securities nor a solicitation of a proxy, consent, authorization or agent designation with respect to a meeting of the company's shareholders. Accompanying today's call is a supporting PowerPoint slide deck, which is available in the Investor Relations section of the company's Web site at ir.charlesandcolvard.com/events. Please note, this event is being recorded. I would now like to turn the conference over to Suzanne Miglucci, President and CEO. Please go ahead.
Suzanne Miglucci: Good afternoon and thank you for joining us as we summarize Charles & Colvard's results for the quarter ended March 31, 2019, the third quarter of our 2019 fiscal year. The quarter was robust with strong revenue growth, excellent gross margin, positive cash flow and our third consecutive quarter of profitability. We're pleased that our direct-to-consumer and omni-channel strategies delivered strong results and look forward to sharing our outcomes with you. Clint Pete, our CFO, will begin today's call with an overview of our financials. Then I'll return to discuss key highlights from the quarter. Clint?
Clint Pete: Thank you, Suzanne. Good afternoon, everyone, and thank you for joining us. My comments today will focus on highlighting the key financial results in Q3 2019. Additional detail can be found in our Form 10-Q for the quarter ended March 31, 2019, when it becomes available. Beginning on Slide 5. We recorded net income for Q3 2019 of approximately $810,000 or $0.04 per diluted share compared with a net loss of approximately $580,000 or $0.03 loss per diluted share in the year ago quarter. This is our third consecutive quarter of profitability. Drilling down to the drivers of the positive net income. Slide 6 summarizes net sales for Q3 2019 compared to the year ago quarter, which increased 17% to $7.9 million. Our Online Channels, which consisted of e-commerce outlets, including charlesandcolvard.com, third-party online marketplaces, dropship and other peer play exclusively e-commerce outlets, generated a 38% increase in net sales versus the year ago quarter, representing 53% of total net sales. In the company's traditional segment, which consists of hotel and retail customers, net sales for the quarter were flat to the year ago quarter. Finished jewelry net sales increased 22% for the quarter, resulting from our strategy to drive finished jewelry sales across multiple geographies and channel, such as our direct-to-consumer initiatives, which include our charlesandcolvard.com Web site. Loose jewel net sales increased by 12%, which contributed to the 107% increase in international sales versus the year ago quarter, due to increased demand from our international distributor market mainly for our Forever One product. Sales from our new cross-border trade platform was strong with a 215% increase from the year ago quarter contributing to our overall growing international sales. On Slide 7. Our third quarter gross margin was 47% compared to 39% in the year ago quarter. The improved margin was driven by continued strong online channel sales, including strong sales of our Forever One product on our transactional Web site, charlesandcolvard.com. Forever One net sales of finished jewelry and loose gemstones represented 80% of total net sales. In addition, increased efficiencies in our supply chain had contributed to our gross margin compared to the year ago quarter. On Slide 8. We show operating expenses as a percentage of net sales at the top of each bar. The dollar level of our operating expenses for each quarter is presented inside each bar. For Q3 2019, operating expense as a percentage of net sales was 37% compared to 48% in the year ago quarter. Overall, operating expenses decreased 8% versus the year ago quarter as we controlled our expenses while increasing our marketing investment and continued to ramp up our campaigns to drive top-line growth. G&A expenses decreased approximately $300,000 primarily due to lowered legal and accounting fees compared to last year when we shifted our fiscal year end. We believe the trend of our operating expenses as a percentage of net sales continues to reflect the discipline that we have built in our business by controlling costs, while continuing to grow our top-line. Slide 9 presents a snapshot of our balance sheet. At March 31, 2019, we had $4.6 million of cash, cash equivalents and restricted cash compared to $3 million at December 31, 2018, $2.2 million at September 30, 2018 and $3.4 million at June 30, 2018. We continue to have no long-term debt and have not accessed funds through our credit facility. Inventory at March 31, 2019 totaled $33.7 million compared to $31.8 million at June 30, 2018. Loose jewel's inventory was $23.9 million compared to $24 million at June 30 and finished jewelry inventory increased to $9.7 million compared to $7.8 million. This overall increase reflects 2 positive strategic factors, one, we invested in consignment inventory related to the continued success and expanding sales through our brick-and-mortar channel; and two, we have planned higher in stock inventory to drive increased net sales for our transactional Web site, charlesandcolvard.com as well as building inventory of our Moissanite by Charles & Colvard line for our dropship and marketplace outlet. On Slide 10. At March 31, 2019, 77% of our inventory was classified as new inventory, leaving only 23% of our inventory classified as legacy inventory. Legacy inventory is now down 31% from December 31, 2017, and 46% from December 31, 2016. In summary, we generated strong positive results in our business during the recent quarter. We continue to be proactive in our outreach to the investment community, conducting presentations and investor meetings at conferences, including ROTH and Planet MicroCap Showcase. Also, there is a NASDAQ Spotlight video interview with Suzanne available in the IR section of our Web site. And coming soon, we will have a recent interview from the Stock News Now. We encourage you to visit our IR site as we just launched an updated version with enhanced resources for investors and other external stakeholders. I'd like now to turn the call back over to Suzanne.
Suzanne Miglucci: Thank you, Clint. I'll start with a summary of notable highlights for the quarter on Slide 12. Our $7.9 million in revenue was driven by continued growth in our online channels segment, which experienced 38% growth over last year. We have robust Valentine's Day sales on our charlesandcolvard.com Web site during our holiday promotion period, exceeding last year's performance by 61%. In addition, our International Channel experienced 107% growth over the prior year quarter. Gross margins continue to hold at 47% driven by our charlesandcolvard.com Web site sales and finished jewelry sales across several of our segments. Finished jewelry represented 50% of total sales in Q3, a 22% increase over last year and a clear indicator that our direct-to-consumer efforts are resonating with our audience. We continue to reduce legacy inventory, which now represents 23% of total inventory and is down 19% from June 30, 2018. At the same time, we're beginning to see adoption of our new Moissanite by Charles & Colvard gemstone, which represented 7% of Q3 sales. Last summer, we introduced this new value-oriented product, which is offered at a price point that competes with emerging competitive moissanite products. It provides a higher margin than our legacy product, Forever Classic and Forever Brilliant, which are no longer being manufactured. We delivered our third profitable quarter in a row with a net profit of $0.04 per diluted share for the quarter and $0.10 per diluted share year-to-date. We ended the quarter with a cash position of $4.6 million. This is our second consecutive quarter of positive cash flow from operations with $1.7 million generated in Q3. These are all strong indicators of prudent spend management balanced with growth-oriented investments that are generating sustainable earnings improvement. I'll turn to Slide 13 to discuss progress in our online channels segment. We saw 38% growth in our online channels in Q3, which represented 53% of total net sales for the quarter. As is generally the case, a primary contributor to this segment was our own transactional Web site, charlesandcolvard.com, which generated a 55% increase in sales over the year ago quarter. We continually iterate our Web site with market-leading e-commerce technology in order to deliver a seamless shopping experience. Our ongoing digital marketing efforts are driving attractive Web site traffic and conversion rate resulting in our continued growth on this important channel. As a primary storefront for our brand, this is where we engage our audience, educate the market about moissanite and develop lifelong relationships with our customers. We continue to hone our digital marketing investment and are generating significant return on ad spend. For example, in Q3, we launched a concerted effort to deliver more video content throughout our digital footprint, which boosted our return on ad spend rate for the quarter. Our product lends itself to the video platform, and we plan to make further investments in our video presence going forward. We'll continue to invest in digital marketing efforts that result in positive impact to our brand. As noted in Q2, we enhanced the company's ability to drive international customers to our U.S.-based charlesandcolvard.com Web site through the implementation of a cross-border trade technology platform. In Q3, this investment resulted in a 215% growth in cross-border trade sales. We are leveraging the data from these visiting countries to validate new market opportunities for Charles & Colvard created moissanite. One of the cross-border countries with growing revenue is Japan, validating that there is a customer for our product in the Asia-Pacific region. In fact, we also went live on Amazon Japan's marketplace this quarter. This unexpected endeavor was prompted by Amazon who contacted Charles & Colvard due to a marked increase in searches for moissanite product on Amazon Japan. We partnered with Amazon to offer to assist in the translation of our listings and content to facilitate and accelerate our launch. And we just recently went live. Our overall marketplace channel saw increased performance in the quarter. We're beginning to see sales traction from our new international marketplaces as our brand takes hold in these new markets, and our domestic channels grew as we introduced our new Moissanite by Charles & Colvard product line. We're diligent about our on-time deliveries and worked very hard to manage and maintain the highest of seller status, which plays an important role in the visibility and ranking of our product over others. Given our strategic investments of in-stock inventory, we've been able to meet the short-term shipping requirements of both our marketplace and dropship customers. For that reason, today, we enjoy Top Rated Seller status on eBay and Prime seller status on Amazon U.S., and we were just recently awarded the highest vendor status with Kohls' for an uninterrupted year of exemplary performance, including shipping times of less than 24 hours, fill rates of 99.99% or better and on-time shipping of 99.5% or more. One final point on the online channels front. Moissanite by Charles & Colvard debut a few quarters ago and is being sold through online channels, such as our dropship program, including macys.com as well as on marketplaces. With 7% of our revenue now coming from this new product, we're pleased to see it taking hold. Over the prior two quarters, we experienced an underperformance in sales by some of our legacy dropship partners as we transitioned to this new product. We're proactively replacing our legacy gemstones with this new higher margin value line of moissanite gemstones and sales are now rebounding for this channel. We'll continue to lean into the online channels segment as a viable and low overhead way to test and validate new markets and to reach a broad customer audience with a wide assortment of products. On Slide 14, I'll turn to traditional sales. The segment was relatively flat compared to last year, representing 47% of total net sales for the quarter. In the brick-and-mortar space, we continued to expand our footprint with select retail partners. As we've noted in prior calls, we approach brick--mortar cautiously given the significant inventory commitments necessary to garner case based in a retail environment. We are very pleased with our current partners and they continue to see sales growth. For these growing accounts, we're continuing to invest in an expanded footprint, which contribute to the increase in our inventory as we continue to invest in what's working. Our U.S. distributors who serve thousands of independent jewelers across the country with Charles & Colvard gemstone were down slightly to last year's performance. This trend coincides with the relatively flat performance in overall retail sales experienced over the 2018 holiday season and into early 2019. Conversely, we continue to see near-term successes with our international distributor partners who have established inroads to their local consumers. We plan to manage our international reach through a balance of distribution partners and Charles & Colvard presence on local marketplaces. Our international revenues increased 107% over the year ago quarter, now representing 12% of total sales. On Slide 15, our investments in product innovation recently brought two new gemstones to the market, round rose cut and elongated ovals. These on-trend shapes are sold through our distribution partners and as loose gemstones and in finished jewelry on charlesandcolvard.com. We also expanded our jewelry offerings with new selections set with Moissanite by Charles & Colvard, providing the consumer with additional value priced options across our marketplaces, drop ship and brick-and-mortar channels. We continue to see significant market interest in our Signature Collection, Charles & Colvard's very first exclusive jewelry line, which we announced in September of last year and we were honored to be recognized by industry retail peers and JCK, the Jewelry Industry Authority, as a winner of the 2019 JCK Jewelers' Choice Awards contest. Our signature halo, Hearts and Arrows statement rings placed first in the lab-created gemstone category. We'll be attending the annual JCK conference again this year from May 31 through June 3. JCK Las Vegas is the jewelry industry's leading annual trade event, bringing together over 30,000 of the world's most influential industry professionals, including over 23,000 individual retailers in attendance and more than 9,400 retail stores ranging from independent, majors, department stores, boutiques and galleries. We'll be featuring our award-winning Signature Collection along with new products we'll be introducing to the trade. As outlined on Slide 16, our focus remains on the four key initiatives that has set us on this profitable path. Driving organic revenue growth and maintaining attractive margin, expanding our gemstone and jewelry offering, targeting the global market opportunity, and generating sustainable earnings improvement. We are seeing positive results from our omni-channel distribution strategy, expanded e-commerce partners, global marketing effort, enhanced product line and customer focus. Our execution across these areas helped produce a robust quarter with strong revenue growth, excellent gross margins, positive cash flow and consecutive quarterly profitability. This concludes our prepared remarks. We'd now like to open the call to take your questions. Operator, would you please pull for questions from our listening audience?
Operator: [Operator Instructions]
Suzanne Miglucci: So while we're waiting for you to fill the queue, we did have an emailed question that we thought we'd begin with. Someone inquired about our return on ad spend. It seems you've cracked the nut on positive outcomes from your ad spend. Can you share what percentage increases you're seeing and reflect on the top-performing channels? Thanks for your question and for those of you that don't typically join the queue with your questions, please don't hesitate to e-mail them ahead of time to the IR contact on our press release and we'll definitely do our best to answer everyone's questions. So we've developed at Charles & Colvard a very data-driven methodology by which we manage our ad spend. At the top of our marketing funnel where we're focused on gaining interest with and engaging with new consumers, we generally see 1x to 3x return on our ad spend. Further down the funnel where we're actively in dialogue with a prospect, we can expect ROI as high as 5x to 8x return. So depending on our focus on any given time, our blended return on ad spend is usually 4x to 5x return. And we can track exactly which programs are providing better returns. For example, we mentioned video ads in our prepared remarks. Video ads perform incredibly well, especially on social channels. And we believe Instagram and cross-border trade advertising investments are also performing at peak performance. That said, we always want to be where the consumer is as she is doing her research and making her buying decision. So we're judicious about spreading our marketing dollars across all of our critical and communication channels, while of course we're balancing healthy ROI. And I would be remiss if I didn't commend my marketing team for their diligence in building this model. It's definitely working. Therefore, as we continue to generate cash, this is a logical place where we're going to do some reinvesting. Andrew, how are we doing with our queue? Are there any questions for us?
Operator: Yes, we do. If I may, the first question comes from Allen Klee of Maxim Group. Please go ahead.
Josh Goltry: Hey, guys. This is Josh in for Allen. Just a couple of questions. Could you be a little bit more specific about the conversion rates from web traffic?
Suzanne Miglucci: So thank you for calling in Josh. We actually don't go that deep into conversion rates, but what I can say is that web traffic is up and pretty meaningfully. And what we do know is where the web traffic is coming from and then within it what converts. But I can't break down in -- if you -- very specifics on that.
Josh Goltry: And where is it coming from?
Suzanne Miglucci: It's coming from all of the various channels where we do our advertising and -- or we do our push marketing. So it can come from social. It can come from influencer marketing where we're working with individuals who are helping to promote our brand out to the market. It can be on search engines like Google and Bing where we actually will do search engine marketing. And certainly, many of the ad networks that are out there where we will place our ads. We've got [news] [ph] channels of our own, we've got social channels of our own. We're in all of these places and they all provide traffic for us.
Josh Goltry: Okay. Great. And what would you say the level of cannibalization is of your legacy products after introducing some of your new product lines?
Suzanne Miglucci: Yes. That's an interesting question. I wouldn't say we're seeing cannibalization. I think we have a new and different customer that is finding this product on select channels and then we have an existing customer who has been finding us on many of our marketplace channels. That's where we have been doing most of our legacy selling. The dropship channel is the one place that had, had legacy goods -- significant legacy goods, that's now moving across to the new moissanite buy. So again, I wouldn't call it necessarily cannibalization. I think that we're flipping a product and what we're doing is bringing the legacy goods to a different channel and to a different customer. I think we do a nice job at striating where our goods are. For example, you'll find our Forever One product in Helzberg Diamonds' stores. It's a great place for you to get a premium product. It's a premium jewelry store. You'll find Moissanite by Charles & Colvard in some of our mid-tier applications, such as our dropship program. So we really separate the products out, so that we're meeting the right customer at the right price point with the right product. Hope that helps.
Operator: [Operator Instructions] The next question comes from Elise Stern of Dawson James. Please go ahead.
Elise Stern: Hi, Suzanne and Clint. Congratulations on a great quarter.
Clint Pete: Thank you.
Elise Stern: And great job on getting the inventory down. So I'm just wondering sort of if you have a number in mind that -- the goal to hit over the next couple of quarters. And then, I have a question as well on your price point and how they've improved and whether or not you're seeing different price points domestically and internationally and how you're adjusting your marketing campaign to address in different markets?
Suzanne Miglucci: Got it. Okay. Let's start with your inventory question first. So couple things to note on inventory. Our legacy inventory is definitely down. I won't give you a number that we're shooting for, but I would strongly recommend you look at our track record, because I think it sets a really good pace for the trajectory of us continuing to draw down legacy inventory and I think you'll find it pretty consistent. And so that sort of legacy, let's put that aside a little bit. I will say inventory is up in total for very specific and concerted reasons. So we want to make absolutely sure that we have in-stock inventory for these more immediate channels we're serving, Elise, like marketplaces. For those of you on the line that are Amazon Prime customers, you know that if you choose to filter that is the Amazon Prime and you put something in your shopping cart and you buy it, it's going to be on your doorstep within two days. We need to live into those levels of timelines. And so for that customer and the customer on charlesandcolvard.com, we have to have ready in-stock inventory. So two different inventory stories to answer the question. Now let's go over the price point. So how are we sort of pricing these products? Forever One is our premium product and it actually commands a premium in its price. And again, we sell it in more premium places such as Helzberg Diamonds' stores. And I think that, that customer is really -- we're finding that she is very sustainably oriented, she likes a product that she knows is ethically sourced and she's buying it for the premium value of the product as well as its incredible visual capabilities. It's brilliance, it's fire, it's sparkle and so on. She's not looking for a dialogue about the price point. However, the Moissanite by Charles & Colvard customer is looking for that dialogue. So that's where the messaging might flip, Elise. And we talked a little bit more about the value story and we offer a price point that is somewhere on the 30 or so percent less than Forever One price point. And these are prices that you all can look at as you go to charlesandcolvard.com and you can see some Forever One pricing and compare it online. So we do flip the message just a little bit depending on the customer that we speak to. And of course, for the legacy product customer, they're absolutely looking for sort of bargain based in prices. And so we'll talk about the great value and the price point when we're on marketplaces and when we're promoting a Forever Classic or a Forever Brilliant. That other thing that's important to know is that we match the jewelry to the stone that we're selling. So in Helzberg Diamonds' stores, certainly all 14 karat gold product, very high-end design and production, we may actually find ourselves in sterling gold on some marketplaces as we're selling out to the legacy goods because sterling is so much less expensive a metal and then it matches the price of the discounted Forever Classic or Brilliant and it offers a very low price point. And that's further to the striation. The last point I'll make, you asked about domestic and international and I'm hoping I'm catching all your questions here. In the domestic market, we are very careful about where we bring Forever One because our charlesandcolvard.com Web site is really the premium and primary place to get that product as well as Helzberg Diamonds' stores. However, we really want to introduce Forever One to the rest of the market. So as we think about Europe and as we think about China, we're actually very much bringing that product forward in these new and emerging markets. We don't want these markets to be thinking about Charles & Colvard as a discount brand. We want them to think of us as a premium brand. And for those reasons, we're introducing the brand, the company and the product we're bringing forward is Forever One, so it's that more premium play. That was a really long answer, hopefully I caught all of your questions.
Elise Stern: No, no, no. It was great. And are you seeing average purchase price rise in general, and are you seeing it rise particularly more with your video?
Suzanne Miglucci: That's an interesting question. Yes. Average order value is eking up a little bit. So we talked before in prior calls, average order values been somewhere in the $1,000 range. We're probably up a little higher than that now maybe about $1,100. So it is coming up ever so slightly, which is interesting because we're bringing forward a number of fashion pieces. Last quarter, we introduced something called the Oro collection. It's our white gold line of very lightweight jewelry, has very tiny small moissanite gemstones in it. Price points are in the $200 to $300 range. And they're selling incredibly well. But at the same time, we're doing such a good job of selling the premium product and a very high-end fine jewelry on the other side that is averaging out and we still see that price point going up.
Elise Stern: Okay. Great. I will let others jump in. Thank you.
Suzanne Miglucci: Thank you, Elise.
Clint Pete: Thanks Elise.
Operator: [Operator Instructions]
Suzanne Miglucci: I see another e-mail coming in here. What worked for Valentine's Day? So, I'll talk a little bit about the 61% improvement over sales last year in online channels sales on Valentine's Day. It is very much a romantic holiday. And so, we do actually quite a bit of bridal on this day. So, bridal sales were strong for Valentine's Day. But it's also a gifting time and so we find a lot of stud earrings will sell because they make great gifts and you don't have to know what size someone wears. When you're actually buying a ring, kind of have to know what you're doing. And so for all those men that are purchasing engagement rings for their significant others, those generally know a size. But for the women buying her mother a present, stud earrings are always safe and we found sales on those were pretty rich and strong. So good Valentine's day sales and this is indicative of what went through our charlesandcolvard.com Web site. Again, our premium site, absolutely knocking the cover off the ball as far as performance is going. Andrew?
Operator: We have a question from Eric Landry of BML Capital. Please go ahead.
Eric Landry: Hi. Suzanne, forgive me, but I heard something in your commentary about some sort of an issue in the traditional segment in this quarter, I think you mentioned. I didn't catch what that was. Could you please repeat that?
Suzanne Miglucci: Sure. Eric. Happy to do so. And thank you for calling in. So we had some under performance in the prior two quarters, specifically in our dropship channels. And so even though online channels are performing very well in the past two quarters, we saw a little bit of downward pressure in what we call dropship. So that would be through organizations like overstock.com, evine.com. This channel is served generally with more value-based product. And so in the past, it was filled with classic goods and brilliant goods. And as we know, we're dispositioning and we're coming out of those products. But we've actually seen an up tick here on that as we go into our new quarter and as we go into these new Moissanite by Charles & Colvard goods. From the traditional side, we're finding things are relatively flat this quarter. And that has to do more specifically with our domestic retailers or domestic distribution partners than it does the rest of the channel. Brick-and-mortar is strong. We're doing incredibly well there. And international distributors are doing well as and we can set that aside. Traditional is seeing a bit of a kind of flat performance to down. And that has to do with -- we believe it's aligned with performance that's happening across the market. So there was a slowing of retail sales in general at the holiday time period in December of 2018. Many retail organizations saw that eke into the January timeframe and we believe that, that's the alignment that we saw with those partners. But I'll be honest with you. They serve independent jewelers, independent jewelers are -- it's a challenging space to be in, so it would not surprise me that they would be seeing challenges in supporting their businesses, which is why we make sure that we have an omni-channel strategy and we have many other channels that perform incredibly well that we work through.
Eric Landry: Okay. So basically what you said was that the issue was with dropship being in the just reported quarter, but you're seeing flat performance in your distributor business currently or flat to slightly down? Is that -- am I interpreting that correctly?
Suzanne Miglucci: Almost, Eric. In the prior two quarters, we saw a downturn in the dropship, which has now rebounded in this quarter. In this quarter that we're reporting, we see flat to slightly depressed performance from domestic distributors, which is offset by strong brick-and-mortar and strong international distributors.
Eric Landry: Okay. I got you. And Helzberg is still just fine?
Suzanne Miglucci: I'll give Helzberg more than fine. We're very pleased with this business. We continue to partner with them. We continue to work on expanding our footprint in their stores. We have not seen a point of diminishing return in the additional work that we're doing with them, so we continue to lean in and do additional programmatic things with Helzberg because we are finding it as a very premium and very high-end channel for us that's performing well.
Eric Landry: Okay. I got it. The reason I asked because you're lapping sort of an easy compare here in the current quarter where they had the -- I think it was an inventory correction last year in that channel. Is there any reason to believe that the online channels is going to grow any slower than it currently is going forward?
Suzanne Miglucci: We don't give guidance, but I would say this. We are so new in so many new channels that I would expect to see some additional improved performance going forward for certain of these channels. I'll give you examples. We went live on Amazon in Germany, France, Italy, Spain and Australia just in the past couple of quarters. And this quarter, we brought on Amazon in Japan. They're all brand new. And so if anything, there is a very nice upside that we can expect from those channels. And then it's complemented by the ever performing charlesandcolvard.com Web site. So it continues to be a very strong segment for us. I appreciate your question. Andrew, any others in the queue?
Operator: Not at this time. So this concludes our question-and-answer session. I would like to turn the conference back over to Suzanne Miglucci for any closing remarks.
Suzanne Miglucci: Well, thank you everyone for joining us on the call today. We appreciate your interest and investment in Charles & Colvard. We look forward to being in touch and updating you on our continued progress. Thank you and have a good evening.
Operator: The conference call will be archived for review on the company's Web site at http://www.charlesandcolvard.com/investor-relations/events. To access the digital replay of this conference, you may dial 1-877-344-7529 or 1-412-317-0088, beginning approximately one hour from now. You will be prompted to enter conference number, which will be 10130523. Please record your name and company when joining. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.